Operator: Good morning, and welcome to the Tristel plc investor presentation. [Operator Instructions] Before we begin, I'd like to submit the following poll. I'd now like to hand you over to Matt Sassone, CEO. Good morning, sir.
Matthew Sassone: Good morning, and thank you to everyone joining us online. This is Tristel plc's preliminary results presentation. And I'm delighted to say that I'm joined by our new CFO, Anna Wasyl. And what I'll quickly do is ask Anna to introduce herself and to say a few words on the first impressions of the company.
Anna Wasyl: Thank you, Matt. Yes, I just completed my 6 weeks at Tristel. It has been a very exciting and busy time, but really, really great. So as you can see here on the slide, I came from CMR Surgical, where I held positions of both CFO and Chief Commercial Officer for some time. And yes, I'm really excited to join Tristel. I think it's a really critical time because of our increased traction in the U.S. and all the opportunities that the U.S. market is giving us. I'm the type of CFO, who is quite interested in commercial models, in looking at different market entry strategies. So I'm really keen to support Matt in that growth journey.
Matthew Sassone: Excellent. Wonderful. Well, let's crack on with the presentation. I appreciate the vast majority of you online are very aware about the Tristel story, but hopefully, we have 1 or 2 new people. We are a global infection prevention company, focused on sort of like addressing the transmission of microbes between people, objects, et cetera. The way that we do this is through our highly differentiated powerful chemistry, the chlorine dioxide. And chlorine dioxide is highly effective against a broad spectrum of microorganisms in low concentrations. And what makes Tristel unique is our ability to create chlorine dioxide at the point of care in a manner that's safe for the patient and the user. So to the financial year ending June 2025. Here are our highlights. It was another year of double-digit revenue growth. It was 11%. And on a constant currency basis, it was 12.4% to GBP 46.5 million. Gross margins ticked up a little bit to 81%, which contributed to adjusted PBT reaching GBP 10.1 million, which was a year-over-year growth of 23%. We maintained our high EBITDA with an EBITDA margin of 28% on an adjusted basis. All of this contributed to strong cash generation. And I'm very pleased to say that on a full year basis, our dividend will be 14.2p per share, which is a 5% increase year-on-year. So as I said, it's been another successful year, but also a very busy year where we've achieved a lot, so much that we couldn't actually fit everything on to the slide. We went direct in a number of different markets, including Spain, Austria and India. But some of the other highlights that we'll touch on during this presentation. We got our clearance for our second product in the U.S., Tristel OPH, which is the first-ever high-level disinfectant dedicated to the use of ophthalmology devices. We brought in some of our manufacturing, which Anna will talk a little bit more about that and the impact it's going to have moving forward. And then obviously, a lot of the energy was on the U.S. and the focus on the U.S. So we got updated. We're in the updated guidelines, and that was a fantastic achievement and just shows the impact we're making. Normally, getting written into sort of by national or local guidelines can take many years. We were able to achieve this in the first year of commercial launch. We have published a study with Mayo Clinic, demonstrating the effectiveness of our chemistry and the impact it can have, not only on sort of the clinical workflow, but also the user experience. And we've got a strong engagement with over 200 health systems now in the U.S. And we'll talk about the U.S. in some of the future slides. One of the things that I will sort of touch on a later slide, but I also want to take the time now just to mention in a bit more detail is, we speak about a strategic lever being our clinical leadership and investing in this. And in the year, there was a number of clinical studies that were published using our technology, which are going to be very impactful for us as we look to grow the business. There is a study from Italy with regards to HPV that demonstrated that we think about ensuring there's not a transmission between patients, but this study really highlighted the need to really worry about the health care professional. And this is something that as we go to markets and we're trying to convince them about the need for high-level decontamination, really highlighting the fact that microbes like HPV, which can be a leading cause of ovarian cancer, is also a danger to health care professionals is really impactful. And then as we mentioned in one of these bullet points, a clinical study that was published in the Journal of Hospital Infection demonstrating the efficacy of chlorine dioxide, our chlorine dioxide, on biofilms, and biofilms is a really hot topic within the health care segment at the moment. So moving forward, let's talk a bit more about the market opportunity. You see this slide a number of times, both on our medical devices and our surface disinfection. There's huge, huge markets. And if we just look at the total addressable market of GBP 1 billion and GBP 5 billion, we can then consolidate this into what is the serviceable obtainable market. And the point we put on this slide, and I recognize we use this slide a number of times, is just to demonstrate that whilst we're getting great success, we have a tremendous growth runway ahead of ourselves. And if we take the medical device disinfection, today, our sales are GBP 40 million, but we believe that near-term serviceable obtainable market is closer to GBP 400 million. So we're only 10% done yet on the job ahead of us. How do we sort of look at this opportunity and how do we divide it? Well, for the first time, we're showing you a little bit more granularity about our market shares. We haven't identified all the different segments we offer in or all the different specialties that we work in, but just a few of note. So ultrasound is sort of the market we talk about the most. Here, we're talking about invasive devices. I've actually got a prop. They look a bit like this. They go inside the orifices of the patient, touching the mucus membrane and they need to be high-level disinfected. We estimate globally there's 200 million procedures annually, of which we know from our data, we are 15 million of those are using our chemistry. And the ultrasound opportunity represents 22% -- sorry, GBP 22 million of our revenue. So we can calculate or estimate that we currently have an 8% market share in that specialty. ENT is another specialty that we've been tremendously successful over the years. These are single and non-lumened flexible endoscopes. The number of procedures is far less. It's only 24 million. And with us sort of doing 5 million of those procedures every year, we can estimate that we have a 20% market share there. Ophthalmology is a segment that is a growing recognition for the need of high-level decontamination and 60 million procedures globally, 2 million of those procedures were carried out with Tristel chlorine dioxide last year. And therefore, we estimate we have a 3% market share. And then on the surfaces, which is a very large market, we know and estimate that we have circa 1% market share. All we're trying to demonstrate here on this slide is the growth runway we have ahead of ourselves and the opportunities are large and multiple. The market trends are also in our favor. There's a continual expansion of the number of devices that are being used at the point of care or in clinics, taking them out of things like the operating room. Ultrasound, the use of ultrasound is exploding throughout the health care setting and ultrasound visualization being used for far more procedures. And as that use is expanding, more and more of those procedures and those devices are falling into the category that require high-level disinfection. We have a tremendous amount of tailwinds with regards to the size of the market and the need for high-level decontamination. However, we need to have the guidelines to endorse that and to recommend it and for people to be measured against. And we continue to focus on those guidelines. And every year, more and more guidelines are being published and the vast majority of those guidelines get published with chlorine dioxide as a recommended means of high-level disinfection. There are some other trends within the health care setting that are helping us. That is the growing awareness of biofilms, whether they be dry or wet biofilms, this is much more of a problem for hospitals now. And as I mentioned right at the beginning with our operational highlights, us coming out with evidence demonstrating our efficacy in this area is only going to help with our growth trajectory. Antimicrobial resistance remains a constant threat in the world of infection prevention. And the value we have here is that chlorine dioxide doesn't produce any byproducts that add to the antimicrobial resistance. So we are sort of a chemistry that aids in this fight rather than create future problems down the road. And then finally, maybe sort of a headwind to mention when it comes to the global market trends. We are coming off the back of an explosion in spend within infection prevention caused by the COVID outbreak. We're now entering a cycle where hospitals recognize that they need to tighten the purse strings a little when it comes to the spend on infection prevention. So there's a lot more focus on sort of the costs in this area. So those sort of heydays post-COVID, I think we're now coming back to sort of more normal, but the market is obviously significantly larger than it was pre-COVID. So moving on to our products, and I'll just whip through these because I appreciate the vast majority of people know our products very well. Essentially, we are perfectly suited for the needs of global health care. We've got a broad spectrum at low concentrations. We are at the point of use and highly effective. And I suppose the thing that so far really Tristel has done because chlorine dioxide is not a unique chemistry. But our power of what we bring and the value that we have is that we've solved the challenge of being able to create chlorine dioxide at the point of use in a means that is safe not only for the patient, but also the caregiver as well. And that's what sets us apart. As we look at our portfolios, we split them into two, the medical device decontamination and then the surface range. The vast majority of our revenues are generated in the medical device decontamination. And you can see that 87% coming from that product portfolio. How do we win and who are our competitors? Well, we win by being a very fast, convenient solution, but also from having this compatibility. We do not damage the devices that we're used with, and we enable the users to be compliant with the guidelines and recommendations that they have. When it comes to the surface disinfection side, again, it's that efficacy, not creating the antimicrobial resistance problem, being kinder to the environment, all these are the reasons why our customers turn to us and why they pay essentially a premium price for our chemistry. We talk to many and our products are used by many different customers throughout the whole of the hospital landscape. We are focused on the health care market. But at the core of it, the hub is always the infection prevention teams. And that's where we have our strongest relationships. And then from there, we branch out into the different departments. And we have a very wide spread across the health care setting, which really plays to our strengths because we embed ourselves across the hospital, and that means that our products are incredibly sticky as we look at our customers and our portfolio. So to wrap up this section before we start talking about our sort of progress and our financials, why Tristel? Well, the trends are in our favor. We have a fantastic chemistry, which the customers really value. It's packaged in the right way. We're addressing infection prevention today, and we're sort of uniquely positioned as a global player to address our customers' needs and realize the opportunities that are there for us. What I'll do now is turn over to Anna, who can just take you through the progress so far.
Anna Wasyl: Thank you, Matt. I will start by sharing the breakdown of our sales by geography. You may notice that we have simplified this slide. And as the company grows, also the bigger region, world regions will be presented. Firstly, Europe, Middle East and Africa. As you can see, the region grew 17%. The strong growth came from Italy, Spain, Germany, also from France, which recovered to high single-digit growth, and also from our Middle Eastern distributors as well as direct markets. Asia Pacific grew 6%. We had pockets of strong growth there, for example, in Singapore and China. However, Australia was flat. In Americas, we have registered high growth that come from low numbers, but the trend is what we want to see. And U.K. delivered a solid growth. And overall, if you take out the ForEx impact, the group grew by 12.4%. If we look at portfolio, so we remain focused on our highly profitable medical device decontamination product, so the Tristel portfolio, that grew healthy 11%. The Cache Surface Disinfection grew by 9%, and the success that Cache had in the U.K. and Europe was slightly offset by the declines in Asia. And here, it's important to strengthen that we are walking away from customers that only buy on price since our products have high efficacy, and we want that the market values them accordingly. The highest growth rates from both portfolios came from our direct European operations as well as all of the distributor markets. It is important when we talk about the progress so far to reflect on customer feedback and the success with our customers. I will not read all the testimonials here in detail, but it is important to mention that our products are recognized for their high quality, high efficacy and also high user -- good user experience as well as our good approach to training and customer service. And the one area where I would like to spend a little bit more time on is how we perform in direct competition. So this slide presents what we have found in different markets and what we are now confirming also in the U.S. That's the customer journey of our customers who are moving from disinfection machines to Tristel products. And the experience that we often see prior to implementing Tristel is the customers complain from inefficient workflow due to the need to disconnect and transport the probes. This is specifically focused on ultrasound probes here, and also to deal with the kind of long downtime. The use of machines is also related to the need for maintenance contracts, spare parts and of course, the use of consumables. And often, the customers complain about the high cost of repairs to ultrasound probes, which get damaged in the machines. And in some markets, specifically, I'm thinking here about Australia, we know that there is also a requirement to have a backup disinfection method when you use the disinfection machines. Now what the customers are experiencing after moving to Tristel product is a significant cost reduction, and that's both for the kind of fixed operating cost as well as the per procedure cost. Also looking at the reduced downtime from 7 minutes for pure disinfection step to 2 minutes for the full decontamination cycle. And I think here, again, what I would like to mention something that Matt briefly touched on before. It is very important to be also able to decontaminate the parts of the equipment, which are adjacent to the probes, the cables, the stand, probe holders, et cetera. One more progress area that I would like to comment on that I was very happy to inherit joining Tristel is the experience of in-sourcing of our Trio wipes manufacturing. As you can see here, last year, we produced 21 million wipes. These were produced by our supplier. However, from this year forward, about 75% of our production is moved in-house. It required an investment of GBP 750,000 and creation of 5 new positions for operators of the line. But we do see a huge cost saving. So on an annual basis, we expect about GBP 800,000 of savings based on the 21 million volume. And of course, we also see a drop in cost, which is related to freight and reduced business risk simply due to availability of dual sourcing and increased, let's say, simplification of our QMS environment. And with that, I would like to pass back to Matt, who will walk us through future opportunities.
Matthew Sassone: Thank you, Anna. Yes, so the future opportunities and how we're going to drive success moving forward. Well, this remains the 5 strategic levers we have communicated already to investors. And I'll go through each of these in more detail. Geographic expansion is our greatest opportunity for growth. And this is not just the U.S. We recognize the U.S. is a significant price. But for us, also geographic expansion is about rising all boats and being more successful in all of our direct markets. But allow me now to focus just on the U.S. because I recognize that this is an area that is a fantastic opportunity, but also a keen interest to our investors. So in the U.S., we have now two products that we go to market with. We have the ophthalmology product and the ultrasound. And these markets are slightly different, and our go-to-market strategy also differs. So let's start with the latest product, ophthalmology. A slightly smaller market where 16 million procedures, a slightly lower price point than the ultrasound, but this is where we are going direct and via distributors ourselves. So on the ultrasound, we are going through with a royalty model. We've partnered with Parker Labs, and we receive a 24% royalty. With the ophthalmology, we're selling direct to the customers with our own direct sales team, but also using a range of ophthalmology distributors in order to access that market. With ophthalmology, we're going to market with the world's first dedicated high-level decontamination disinfection product. And therefore, we're finding that there's a tremendous unmet need with regards to customers, whereas in ultrasound, the market we're addressing, our main competitor has been established in the market since the mid -- well, around about 2015. And therefore, the need for high-level decontamination is much more well established, but also the competition is more entrenched. So how are we doing? Well, on the ultrasound, we are making good progress and continued success. You can see with the chart a sort of quarter-by-quarter success, but also a really strong Q1 of this financial year, FY '26. And in fact, Q1 of this year, the sales were greater than the first 7 months of last year. So very encouraging. For those of you that were able to come to the Capital Markets Day, were able to watch the video online, you would have seen the U.S. customer, Tiffany Woolwine, talk about the experience. And was really good for the shareholders to hear what we've been hearing in the market, which is a tremendous response to what we have to offer. But we recognize that there's always that lag between that coming through and actually seeing on sales and making an impact on our business. So we remain extremely confident in our ability to execute in the U.S. market, very bullish about the opportunity, very bullish about our abilities there. And it's great to see that we're making progress. It's going to take time, but we feel like we're on the right course with regards to the U.S. on the ultrasound opportunity. In ophthalmology, we're off to a great start. So the product was launched in June. We've got our clearance from the FDA around that time. The product was first manufactured in August, and we got out of the gate in a very strong fashion. Obviously, as I said, the customers have been waiting for this. They recognize that today, their solutions for high-level decontamination of ophthalmology products is less than ideal. And therefore, we're pushing, in many cases, against a bit of an open door. We still got to go through that change in the clinical workflow, the education of staff, but it's incredibly pleasing to see that right out of the gate. We have 15 sites, which are ordering and have received the products. We have a strong demand and a strong pipeline with a further 60 sites sort of wanting to have an evaluation and a further 88 sites actively engaged. And we're doing this all with our own resources and through the help of one distributor at the moment. So in the U.S., we have 3 full-time employees, and kudos to them for everything they do. They're doing a fantastic job, and we have one distributor. We have another two distributors that are in the wings and hope to have signed up and onboard soon. As well as all of this commercial activity, the team has been working with a few sites to get a multicenter case study initiated. And this is going to be really impactful because it's going to help with regards to that clinical endorsement and that promotional effort and engaging customers and educating them on our offering. And at the same time, working with all the ophthalmology equipment manufacturers. We need to be in their IFUs, in their cleaning guidelines. And we are, in many cases, in those IFUs outside of the U.S., but we need to get those IFUs updated. So the team are working with those OEMs to deliver that. So early days on ophthalmology, but incredibly encouraging and are off to a very strong start. Shifting gears a little bit just to talk about our surface disinfection strategy. As outlined in the slides, it's a very large market, a very sizable opportunity for us. But we've got to be honest, the vast majority of the market is kind of low gross margin and commoditized products. And that's not where we are best suited in order to sort of get success. We are a company that's about delivering high value, but also a high price. So the way that we view the surface disinfection market is very much around sort of being opportunistic and really addressing and focusing on those areas where we add the most value. And so that may reduce the size of the pie a little bit, but it still represents a very significant large market opportunity for us, and one where we feel that our chemistry is well suited to deliver and address the needs of the customers there. And so we continue to execute upon that. But our primary focus will always remain on the medical device decontamination. I've spoken about how important it is for clinical influence. All of us are influenced by our peers and doctors, and health care professionals are no different to that. And therefore, we continue to invest and continue to focus on key opinion leaders, driving the national guidelines, being sort of in published papers, and that's why so much activity. And as I mentioned, we're so proud of the studies that are coming out of Italy with regards to HPV, the studies we've done on biofilm and others, which we have mentioned, which are all driving us forward that way. And we really have a focus throughout the business on expanding our clinical reach and our influence. Another way we're going to be driving growth is through innovation. And we sort of announced the launch of a new product post period end, which is our VISICLEAN product. I'm going to try saying quite brave now. I'm going to try and demonstrate the products live on -- during the call. So hopefully, you can see me. I don't know whether the organizer can maybe reduce the slides, so I can just go big, so you can see me a little bit better than on the screen. I see if they're paying attention, that would be interesting, there you go. So what I have here is, I have an ultrasound probe that the user be and just I've got the combination pack, which includes everything that the user would need to perform a high-level decontamination. So what I'm going to do first is get a dry wipe. So I'm just going to pull that packet. So I now have my dry wipe. I'm doing sort of like an illustration. So I just put 2 squirts of our VISICLEAN product. So what is this product? This is a foam, a cleaning foam that we put into a die, which enables the user to sort of clearly identify that they're covering the whole entire device. And this is providing not only just a validation that you have cleaned the whole device, but also the die also works with the chlorine dioxide. So it provides a validation of the fact that it's high-level disinfected. So hopefully, you can see on the screen that this ultrasound probe is now sort of pink, and you can see on the wipe here, the die is clearly there. What I'm going to do now is just take our Tristel Duo ULT product. So this is our chlorine dioxide. I just going to put 2 squirts of the foam, 2 aliquots of the foam into the actual wipe itself, trying to see if I can demonstrate, there you go, so it's in the wipe. And now I'm going to take my device, which is still pink, as you can see, and now just spread that chlorine dioxide all over the device. And what you can see immediately is that device is now being cleaned. Let me just get into the real nooks and crannies and make sure I've got all of that chlorine dioxide in there and being effective. And this is a visual verification to demonstrate that not only if I cover the whole device, but also the fact that the chlorine dioxide is working and has been effective. And then what I'm going to show to you here is just the actual wipe itself. So you can see here the wipe is now clear. And so what that's demonstrating is not that the wipe has just taken off the die from the actual probe, but actually it's the chlorine dioxide that has worked on the actual die and that reaction is taking place. And therefore, you can see confidence that you performed a high-level decontamination procedure. If you wouldn't mind going back to the slides. So why are we excited about this? Well, cleaning is a necessary step for any high-level decontamination procedure, whether you're using our chemistry or if you're using an automated solution, you have to do the cleaning step before you perform the high-level disinfection. We are the only company that has that visual sort of cleaning step and also that sort of validation of the chlorine dioxide, but it also gives us an opportunity to upsell to our existing customers. So we know today that we are selling with our Duo 14 million procedures every year. Now imagine what would be possible if we can get every one of those procedures to be upsold to be using our VISICLEAN products as well. So financially, this is an exciting opportunity for us. And it's also a highly innovative and differentiated product we bring to the market, which just completely falls into what Tristel is all about. And then finally, our final sort of strategic lever that we're looking to invest more in and recognize it's important and is a platform that we want to grow from is our digital leadership. Today, we go to market with our 3 key products, which is our train, track and trace offering. And this is all part of our sort of augmented product that we bring to the customer. And we provided free of charge to customers today. And the customers see a tremendous amount of value in that, and they really are grateful for us in doing that. Our customers actually do charge for their solution. But we are looking to move that -- well, move that way as well. And the way that we want to do it is have the base of what we offer today, but then add more features and value to our digital offering so that we can start to sort of move the customers more to a premium tier, generate a recurring revenue stream and support our infection prevention customers and partners with their move to digitalization. We know they're starting to adopt sort of our IT solutions to date and some of the other needs. And we feel that we could offer a tremendous amount of value here and actually enjoy some of the spoils that comes from this emerging part of the market. So what does that mean? Well, what's our financial outlook as we look to the future years? And we've entered the sort of a period where we finished our sort of 3-year financial targets, and we're looking to set new targets as we move forward. During sort of the last decade or so, we've had tremendously strong growth. It's a CAGR of nearly 12% over that period. But the company is getting bigger. And obviously, on a percentage basis, it becomes more and more of a challenge to keep on growing at that rate. But what is realistic for us? Well, we certainly believe double-digit growth is attainable and achievable in the next 5-year period. And if we were to grow at that kind of 10% CAGR, what would that mean? Where will we be as a company? Well, we'd be somewhere mid GBP 70 million of revenues. Well, as an organization, that'd be great, but we want to stretch ourselves. We want to drive for more and aspire to a greater target. And let's be honest, GBP 100 million is a great threshold for a business like ours to breakthrough. So we're setting that as a goal for ourselves internally and say that we want to achieve by FY 2030. And if we were able to do that, that would be a CAGR of 17%. So there's a bit of a gap there between sort of the mid-70s to GBP 100 million. So how are we going to achieve it? Well, we believe that we can close that gap with more aggressive growth and more aggressive growth in our geographic expansion and especially from the U.S. with more new products coming through, with everything. We've spoken about on the sort of like the software commercialization and realizing the growth in the digital part of health care. And also, we will be open to some inorganic opportunities should they arise. But those inorganic opportunities must be complementary to what Tristel is all about. And what do I mean? Well, I mean Tristel is about niche, highly differentiated product offerings with high gross margin. And whilst we don't have a pipeline of acquisitions on the table right now, if we could find a company that was maybe had a very novel that could really benefit from our commercial footprint and our reach, then that will be something that we'll be looking to execute upon and use our cash reserves that we have today in order to do that. But that's saying for the future. For now, we're very much about executing on what we have and growing the business as fast as we possibly can. So the U.S. offers us some different opportunities. And Anna, do you want to just explain this slide?
Anna Wasyl: Sure. I can walk you through the illustration of our go-to-market model and how it contributes to Tristel's financials. So these sales projections are based on Tristel reaching 4% market share of ULT and 8% of OPH by 2030. And the objective of this slide to show you how these 2 different go-to-market strategies influence Tristel. So for ULT, the business model is based on royalties, which, of course, are great since that's 100% gross margin. However, as a result of this approach, you can see that even if the in-market sales, that's the green line, is growing to very high levels, the contribution to Tristel top line is very limited. And of course, the benefit of it is that it's 100% gross margin. However, for OPH, we've taken a different go-to-market approach, which Matt already explained. And here, there is a higher proportion of sales that's impacting Tristel's revenue and then also there is a bit of cost associated to that and then it flows through to bottom line. These projections are quite conservative, and we do remain excited about the opportunities and hope to actually deliver higher growth rates than this. But I think it explains quite well what you can see as the final contribution of the U.S. market to Tristel's financials. I'll pass back to you, Matt.
Matthew Sassone: Thank you. So as I said, we've come to the end of the sort of the 3-year cycle of our financial goals. That was a time where we committed to 10% to 15% revenue growth. During that 3-year period, the company actually delivered 14% CAGR. We committed to an EBITDA greater than 25%, and we achieved that every year. And then we also committed to year-on-year increases in PBT. So we're now at that point where we're setting our financial commitments for the years ahead, and we've gone for a slightly longer cycle looking out towards 2030. And what we're committing to is double-digit revenue growth annually during that time frame, maintaining that sort of EBITDA margin of 25% annually and then a progressive year-on-year dividend policy. So what does this mean? Well, basically, what we're trying to communicate is a financial discipline from the business, getting that balance right between investing in our people, in our products, in our market development as well as making sure that we give the returns back to our shareholders. So in summary, in outlook, the business goes from strength to strength. We have our 5 strategic levers that we're looking to execute upon and deliver that growth. We remain confident in our opportunities in the U.S. and building upon the success we've already achieved to date. And the fundamentals are there. We are a profitable company, cash-generative, revenue-growing, progressive dividends and all debt-free as well. So thank you for your interest. Thank you for investing in the business, and we'll now pause to take your questions.
Operator: [Operator Instructions] And Leanna, if I could just hand over to you to read out the questions, and I'll pick up from you at the end.
Unknown Attendee: Thanks, Lily. We've had a number of questions. So we'll start off with some financial ones. Is the new revenue growth target purely based on organic growth?
Matthew Sassone: Yes, very much so.
Unknown Attendee: Can you confirm the royalty rate on the high-level disinfection sales in the U.S. for the Parker relationship?
Matthew Sassone: So the relationship we have with Parker Labs in the U.S. is twofold. First is that they are a manufacturer in the U.S. and they manufacture all the products we sell in the U.S., whether that be ophthalmology or ultrasound. And obviously, in the current political climate, that's a very good thing because it means that we are not affected by any tariffs. But also locally, it's a very strong thing to be made in the U.S. because there's a tremendous amount of patriotism in that country. Commercially, then we have the 2 products, the ultrasound product, Tristel ULT, that operates under a royalty contract where Parker does all the sales and marketing, that makes all the investments. They've recruited a sales team of about 10 people and have been doing a tremendous amount of promotional effort. And they sell directly to the logistics partners and to the customers. We receive a 24% royalty of what their sales price is to those logistic partners. So that's the commercial model for the Tristel ULT, the ultrasound product. For Tristel OPH, this is where Parker are manufacturing it. We pay them sort of a small price premium on their manufacturing costs. And then we are selling to the customer ourselves. And we're doing that either using our distributor partner as the customer services and our logistics house and achieving those revenues that we're making there or we're selling to them as a distributor and then they're selling it to the customer. So you can see that we are gaining far more of the sales price, but obviously at a lower gross margin than the 100% gross margin royalty that we receive on the ultrasound product.
Unknown Attendee: Fantastic. Accepting the scale of the opportunity ahead, do you have the right capital structure, investments, dividend policies and the working capital capacity to pursue the growth at sufficient pace?
Matthew Sassone: Yes, I think we do. I think we are sort of getting the right balance. We want to invest more internally and be more sort of aggressive with our investments, but we can do that in a way that still means that we can deliver our commitments. So I think we can do both.
Unknown Attendee: Fantastic. So maybe turning to the U.S. Previous presentations have indicated an ultrasound market opportunity in the U.S. of approximately 50 million ultrasound procedures each year. Does that figure include surface ultrasound procedures as well as intracavity?
Matthew Sassone: So the simple answer to that is no. So we've publicly stated that we think that in the U.S., there's 50 million procedures every year that require high-level disinfection. There's multiple different sources for that information. And what we're actually looking at is what we call the intracavity ultrasound products. So it's products like I use for the demonstration of VISICLEAN. When you start to look at the skin surface ultrasound products, then the market becomes a lot larger. Now just to sort of visualize to people joining the call, the skin surface probes would be the probes that you would see used on sort of a pregnant lady's belly to visualize the child there. And what we're seeing is a real expansion in the use of those probes for other means, like clinical procedures. And some of these clinical procedures, if you think of placing like lines, these can be sort of central lines or even more peripheral, then you're piercing the skin, that probe is a much higher risk of becoming into contact with body fluids and therefore, must be cleaned sort of like pre and post those procedures being done. So that is not included in our sort of market sizing at the moment. We definitely see that as sort of like future growth. Why right now is it sort of like front of mind and say that we include in our numbers? Well, simply because the need for high-level decontamination on the invasive probes is well established. The guidelines are there. It's all being written there and is very established. The clinical guidelines are catching up with it is the expansion of ultrasound use with the skin surface probes. But as those guidelines catch up, we feel that we are really well paced to benefit from that. And why do I say that? Well, these probes are typically used in very busy areas of the hospital. You think of the A&E, the emergency room, think of the critical care departments, and these devices are being wheeled between patients, and the devices themselves are incredibly portable. The intracavity probes tend to be used much more in a clinic setting and therefore, much more static. When you're thinking about sort of like a skin surface probe that's very portable, what do you need? Well, you need a solution that matches that portability that has that ability to move and be there at the point of care. And that's what the Tristel Duo and Trio products are all about, being able to perform high-level decontamination at the point of care. And therefore, we think that, that is a real sort of avenue or runway for future growth as the market recognizes that these point-of-care ultrasound probes need to be high level disinfected.
Unknown Attendee: Just a clarity, would you mind defining hospital systems? Are they individual hospitals or hospital groups within multiple hospitals?
Matthew Sassone: Yes. We do use the word quite interchangeably, but hospital systems tend to refer to a network of different hospitals. In the U.K., you can think of these as trusts where you've got your individual sites. In the U.S., they refer to them as systems. Sometimes these systems can be 3 or 4 hospitals, and sometimes the systems can become hundreds of hospitals together. So some of the largest health care systems in the U.S. are a couple of hundred hospitals. I suppose for clarity, I should say that in the U.S. off the top of my head, we are currently actively engaged with some 362 hospital sites. But obviously, that's across multiple different systems.
Unknown Attendee: Do your marketing and distribution arrangements with Parker cover all related products, specifically Tristel VISICLEAN?
Matthew Sassone: So basically, we would be saying any products which are focused on the ultrasound segment, where we would be willing to work with Parker so they can commercialize those for us.
Unknown Attendee: And with regards to the U.S., are you able to split between your initial orders and repeat customers?
Matthew Sassone: Yes. We have a very good relationship with Parker, and we work very closely with them. So sometimes when you have like a royalty arrangement, it truly is a very hands-off and you kind of don't have much granular insight into what the activities are or what the successes are. I can tell you that, that's not the case. Tristel and Parker work incredibly closely together. Our teams are in communication on a daily basis, and Parker respect us enough to really provide us with a lot of information, and we have a very good dialogue. So we know those repeat customers. We know the mix between smaller clinics and larger hospital sites. And it's getting that right balance, isn't it? You can go for the smaller clinics, which have a much faster buying cycle, but the volumes are a lot lower. And what we do know is that we've got a great mix of those smaller clinics. And we've also got some penetration on those bigger hospital sites. But have we really gone deep and wide in those hospital sites? No, we've got 1 or 2 departments, and we're building more traction. So as we look to grow the ultrasound business with Parker, we know that they're sort of focused on going much deeper into those hospital sites, getting more of those larger customers as well as getting those quick wins and building the momentum in the sales there.
Unknown Attendee: With regards to competition, kind of what the competitive landscape look like? Who are your main competitors? And could you detail the competitive threat from UVC? Are you confident that you can retain market share?
Matthew Sassone: So we've built this market. And as we get larger and as we get more successful, naturally, you get more competition, you get more people that are very interested in the space. And not only because it's a growing area, but also because it's an area that they can see the high gross margins we're making, so it becomes very attractive. I would put our competitive threats into sort of two camps. You get the pretenders coming in. So these typically tend to be low-level disinfection companies that like do a little bit of testing and try and make claims beyond their reach with regards to high-level disinfection, but they try to charge more and enter into the market. And we work to squash their claims, educate the customer, inform the regulatory bodies or work legally in order to sort of basically put them back in the right camp and not come into our market. And then you have those other products which have been regulatory approved for high-level disinfection. And they're typically the two products -- two groups of companies really, they are the automated. And so within that, you have Nanosonics, which is the vaporized hydrogen peroxide. They've been around a long time, and we've competed with them over the years. And then in more recent years, you have the UVC companies, which have been coming into the market. Now on the face value, UVC is, it sounds very interesting. It's an automated solution that doesn't require any chemistry. It just requires a UVC. But what we're hearing from our customers is despite all the promise, the reality doesn't always live up to expectations. So we see them as a threat. They're quite noisy in the market. But in reality, we see that sort of like our customers are very loyal towards us. And those that have temporarily shifted to UVC, their experience hasn't been what they thought it would be.
Unknown Attendee: Around the world, how about your plans aiming for Japan?
Matthew Sassone: So we continue to work to continue to expand. We have just recently recruited a distributor manager in Asia to work with the existing team there. She speaks many languages, including Japanese, and is helping us with the efforts we've already made in that market. Japan remains a very interesting opportunity for us. It's obviously the third largest health care market in the world. And it's somewhere that hasn't really to date kept up to speed with the rest of the world with regards to its adoption of high-level disinfection. So we feel it's an area that we can really sort of go in and enjoy some good incremental growth in the future. So progress is being made, but we haven't commercially launched the product yet.
Unknown Attendee: Getting a culture right for building global transformative businesses is generally poorly understood in the U.K. How does Tristel deal with its culture?
Matthew Sassone: I'd say, first of all, I've been with the business for sort of 12 months now, just over 12 months. And I really have been incredibly energized and proud of what I've seen across the globe and from all of the team. We have sort of a deep pool of very talented people, very focused on sort of the goals and what we're trying to achieve. I can tell you that we just got the results of our engagement survey, and the engagement within the business is the highest rate it's ever been, which is good to see that we continue to make strong progress there. So we have a highly engaged team and people that are very, very passionate. We try to get the right balance, recognizing sort of the different cultures around the globe. But I feel from the feedback we received, we're on the right path and we're doing the right things.
Unknown Attendee: Finally given time, could you explain where inorganic opportunities would come from?
Matthew Sassone: Yes. I'd try to sort of like -- I knew this is going to bring up people's attention. I try to sort of explain it during on one of the slide. What we mean there is, as we try to break through and achieve GBP 100 million sort of like aspirational goal, we always have our ears to the ground and looking out for what may be some really interesting inorganic opportunities. But these must be things that fit and complement what we do. So there must be around being able to utilize our initial existing, sorry, commercial network. They must be niche, novel, highly differentiated products where the customer sees value because it's solving currently unmet needs or addressing problems that can't be addressed with solutions today and also got to be ones of where we can achieve a high gross margin. Do we have a list today? No, we don't. It's not something we've been actively sort of spending a lot of time and energy on. We're focused on driving the results of the business with what we've got with sort of our current product portfolio. But should one come along, we're not going to rule out. But what I can say to investors is that, we're not trying to signal that we're going to be raising lots of money and going to the market and diluting your shares that have today. We've got a nice cash reserve we've got, and we feel that any such of these acquisitions could be executed upon with that cash that we have in hand right now.
Operator: Matt, Anna, thank you for answering all those questions you can from investors. And of course, the company can review all questions submitted today, and we'll publish those responses on the Investor Meet Company platform. Just before redirecting investors to provide you with their feedback, which is particularly important to the company, Matt, could I please just ask you for a few closing comments?
Matthew Sassone: Yes. So thank you so much for attending today. And what I'd just like to say in closing is, it's another year of fantastic set of results. The business continues to go from strength to strength. We are executing upon the opportunity. We remain incredibly encouraged by the size of the market and the work we've got ahead of ourselves. And myself and the team are 100% focused on delivering that for you. So thanks so much, and I wish you a great rest of your week.
Operator: Matt, Anna, thank you for updating investors today. Can I please ask investors not to close this session as you'll now be automatically redirected to provide your feedback in order that the management team can better understand your views and expectations. This is going to take a few moments to complete, and I'm sure it'll be greatly valued by the company. On behalf of the management team of Tristel plc, we'd like to thank you for attending today's presentation, and good afternoon to you all.